Operator: Good morning. My name is Vanessa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindsay Corporation First Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. (Operator Instructions) During this call, management may make forward-looking statements that are subject to risks and uncertainties, which reflect management's current beliefs and estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words, expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Rick Parod, President and Chief Executive Officer. Please, go ahead sir.
Rick Parod: Good morning and thank you for joining us today. With me on today's call is Jim Raabe, Lindsay Corporation's Chief Financial Officer, and Lori Zarkowski, our Chief Accounting Officer. Total revenues for the first quarter of fiscal 2015 were $134.8 million, 9% less than the $147.7 million in the same quarter last year. U.S. irrigation equipment revenues decreased and were partially offset by increases in infrastructure and international irrigation sales. Operating margins decreased to 8.8% in the quarter compared to 10.8% in the same quarter last year primarily due to lower sales of approximately $2 million in incremental expenses associated with estimated environmental expenses and acquisition related expenses. Net earnings were $7.6 million or $0.62 per diluted share, compared with $10.2 million or $0.79 per diluted share in the same quarter last year. For the irrigation segment in total, sales were $114.7 million or 11% lower than the same quarter last year due to the decline in equipment demand in the U.S. Irrigation operating margins decreased to 12.8% of sales from 15.7% last year, due to the lower revenue in incremental and environmental expenses. U.S. irrigation revenues of $62.7 million decreased 21% and a 27% decline in the number of irrigation systems sold offset by sales increases in pumping stations and filtration solutions. Virtually all of the unit sales decreases from the same quarter last year occurred in the corn belt of the U.S. While corn prices have seen some rebound over the last few months they remain relatively below the peak attained in 2012. The commodity price compression is expected to continue to reduce farm income in the coming year. Lower commodity prices and consequentially lower farm income are expected to reduce U.S. Irrigation equipment demand in fiscal 2015. However, it remains very difficult to predict the full impact until we enter the primary selling season starting this second fiscal quarter when we will have more tangible feedback and farmer sentiment and visibility on market demand. While the near term perspective is unclear, it is evidenced that the convergence through efficient, mechanized irrigation is progressing undeterred in the U.S. as illustrated in the USDA farm and ranch irrigation survey data released in November. Pivots of lateral systems now irrigated approximately 48% of irrigated acres as shown on page nine of our slide deck. International irrigational revenues of $52 million in the quarter increased 4% over the same quarter last year most notably in the Middle East, South Africa and Australia. Interest in mechanized irrigation remains very good in most all of the international markets with many large agricultural projects proceeding as planned, undaunted by the lower commodity prices, however, there remains significant challenges in selling into Russia and Ukraine, which historically represents a small percentage of our international irrigation sales. The challenges have now been exacerbated by the plummet of the Russian ruble reducing the purchasing power of our customers in Russia. However, we continue to believe in the long term growth opportunities the region offers and we will remain active in the market. Infrastructure segment revenues were $20.1 million in the quarter, increasing 9% from the same quarter last year. The infrastructure segment generated operating income of $2.2 million in the quarter compared to 0.5 million in the first quarter last year and higher sales and improved margins. All of the revenue increase for the segment was generated by our road safety products with a significant increases in internal sales for use with guard rail. The Road Zipper system sales and installation on the Golden Gate Bridge remains untracked for installation in the second fiscal quarter of 2015 and our outlook for infrastructure continues to be positive although somewhat mitigated by the lack of long term U.S. highway bill and funding clarity. Gross profit in the first quarter of $36.9 million or 27.4% of sales versus $40.2 million or 27.2% of sales in the same quarter last year. Gross margins in irrigation increased by slightly less than one percentage point as compared to last year. Excluding the impact of a higher than normal warranty charge in the prior year irrigation gross margins decreased by approximately 2.5 percentage points as a result of competitive pricing pressure and increases in input costs. At the same time our manufacturing operation in Lindsay Nebraska, we are able to offset the deleveraging impact of lower sales through higher productivity and through reductions in factory expenses. During the quarter, infrastructure gross margins increased by approximately 6 percentage points primarily due to product cost reductions, product mix and cost leveraging on higher volumes. While we did not have any revenue in the quarter from the Road Zipper systems to be installed by the Golden Gate Bridge, we did receive cost leveraging benefits from production of the barrier transfer machine and the barrier for the project. Operating expenses in the quarter increased to $25 million from $24.2 million in the same quarter last year. Increase in expenses is attributable to the incremental environmental expenses recorded and expenses incurred to the acquisition of Elecsys Corporation which is expected to be completed at the end of January pending a positive election results from their shareholders. After meeting with the EPA in December, we determine that the timeline for our current remediation plans should be extended beyond what we had originally estimated, therefore necessitating increasing our environmental expense estimates. We continue to work with EPA to determine the best long term solutions for the site, unfortunately these costs are difficult to estimate and sometimes result in periodic revisions. The environmental and acquisition expenses reduced earnings by $0.11 per diluted share on an after tax basis. On the other hand in response to cost and irrigation market conditions in North America, we reduced our SG&A expenses by approximately $1.3 million as compared to a year ago quarter. These reductions were primarily in personnel related expenses, consulting and travel. We are continuing to monitor market conditions and to make appropriate reductions of expenses that will not impact our long term growth initiatives. Total operating expenses were 18.5% of sales in the first quarter of fiscal 2015 compared with 16.4% of sales in the prior year period. Excluding the environmental and M&A expenses, operating expenses were 17% of sales for the quarter as compared with 16.4% of sales for the same period last year. The order of backlog at November 30, 2014 was $68.3 million compared to $86.6 million at November 30, 2013 and $79.6 million at August 31, 2014. Year-over-year U.S. and international irrigation backlog levels have decreased reflecting the change in agricultural market conditions while infrastructure backlog has increased. Our backlog typically represents some long term irrigation and infrastructure project as well as short lead time orders and therefore as I have indicated in the past quarters, backlog is generally not a good indication of future quarter’s revenue. Cash and cash equivalents were $139 million at the end of the quarter and were $12.5 million lower than the same time last year. The decrease reflects execution of our capital allocation plan announced in January including investing $71.1 million of stock repurchase system at that time. During the first quarter, we repurchased 381,619 shares or $30 million and we continued to execute share repurchases under our 10b5-1 plan. In summary, fiscal 2015 is anticipated to be a continuation of the agricultural cyclical contraction we experienced last fiscal year. The length and severity of any cycle is difficult to predict, but we remain confident in the long term drivers for the efficient agricultural irrigation and water use efficiency globally. During this period we will continue to appropriately manage expenses, balanced against the important priority of aggressively executing our long term strategies and protecting and fielding our global market positions. We will continue to expand our international footprint including the opening of our factory in Turkey during the second fiscal quarter. Although the additional capacity may create some short term fixed expense absorption pressure as we rebalance our manufacturing resources, we are confident in the incremental profit potential of our global expansion plan. We will continue to aggressively pursue expansion into new and developing markets in creative ways. Additionally we are confident that our investments in competitively advantage products and services including our technology and solutions offering will continue to position us well now and as agricultural market conditions improve. In the infrastructure business we continue to make significant progress in gaining market strength in our road, safety and rail products. We believe we continue this progress in 2015 with further growth, margin gains and profitability improvements despite the lack of long term U.S. highway funding clarity. Finally, the strength of our balance sheet will allow us to continue to invest in creating incremental returns for shareholders through investments in growth opportunities, with our growth organic and through acquisitions increasing dividends and opportunistic share repurchases. I would now like to open it up for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Schon Williams from BB&T Capital.
Schon Williams: Hi, good morning.
Rick Parod: Good morning.
Schon Williams: Rick, I wondered if you could maybe just give a little bit of additional color on some of the margin pressures on the irrigation side. I mean you noted that there was some pricing pressure. You also noted some kind of higher input costs. Wondering if you could just talk about what are the trends that you're seeing. Is it kind of stable? Is it getting worse, is it kind of volatile during the quarter and then what specifically on the cost side are you seeing in terms of higher inputs?
Rick Parod: Well as I mentioned last quarter we saw and we’re hearing anecdotally from our dealers about some increased competitive intensity in some of the markets which was difficult to really determine whether it was coming from manufacturers or specific regions from dealers which is always the case. We did see that continue, we did hear more from our dealers about true competitive intensity and cost specific projects in various regions where pricing became more competitive and it wasn’t specifically from one competitor or another but just in general more competitive. And that’s not unlike what we would expect to see in a down cycle or down period as we have experienced recently. Now on the cost side, the other factor has been, we’ve seen steel price increased approximately 12% to 13% up from the same quarter last year to where we are today with difficulty in this pricing environment and been able to pass through the increases as rapidly as we have in the past. That was part of the cost input pressure we’ve seen. But generally what we’ve seen is I probably attribute the margin change that we saw in the irrigation market is about half been related to pricing pressure and half to cost or to input cost increases.
Schon Williams: Okay, thank you. And then on infrastructure one of your large competitors on the -- road barriers, crash barriers is going through some litigation at this point. I am just wondering are you seeing any benefit from that at this point.
Rick Parod: While we have definitely seen some benefit from that in terms of the sales of our in terminals and we are aware of the issues that are going on with our competitor in that category and I think we are one of the three companies that can provide those or have approved in terminals for those, those applications. So we are definitely seeing some benefit from it, it is difficult to tell how long that of duration that will last for, whether it’s permanent or whether it’s disappointing time but there’s definitely been some benefit
Schon Williams: Hi, thanks I’ll get back in the queue.
Operator: Your next question comes from the line of Nathan Jones from Stifel.
Nathan Jones: Jim
Jim Raabe: Hello
Nathan Jones: Hi, can you hear me?
Jim Raabe: Yeah.
Nathan Jones: Sorry guys. Could I just get a clarification firstly on the environmental expenses? Is this a kind of one time true up or are we expecting to see continued higher levels in environmental expenses?
Jim Raabe: Well the environmental accrual is something that we estimate on an ongoing basis for relative to some information that we have available at the time as Rick indicated we had a meeting with the EPA in December. In that meeting a couple of things came out one of which was some request for some additional information as well as we had a change actually in management of the site from the EPA standpoint. So, like this is just kind of reflective of environmental situations in general which is there are always potential for changes and circumstances and so we update on a regular basis what that assessment is of what those costs are. And that’s essentially what happened in this quarter is as a result of those changes we increased the timeline that we expect to be dealing with the environmental issue until we increase the reserve with respect to kind of ongoing issues and how I can really say is we continue to work with EPA and there are a number of uncertainties involved in this type of situation but there is always a potential where there will be changes in the estimates in the future, but I couldn’t really comment on any particulars with regard to whether there would be win or forward or magnitude type of things.
Nathan Jones: Understood, but absent any changes, this would be a one-time expense then to increase the reserve?
Jim Raabe: Absent any changes, yes this would be a one-time item.
Nathan Jones: Okay, if we go on from there, you had 250 basis points down in irrigation. I guess some of that's a little bit of mix change there with international being a bit higher. You talked on the last call about a typical down cycle seeing 300 to 500 basis points of gross margin compression. Do you expect the pricing pressure to get worse in the next few quarters, remain the same?
Rick Parod: Yeah, I don’t know – this is Rick, I would not necessarily describe the pricing pressure to get worse. I would say that we would expect it to continue and we’ve talked about the 300 to 500 basis points compression in gross margin. We talk about as really the pricing pressure input cost changes in cost de-leveraging to some extent as well. Now as we point out our factory in Nebraska is doing a great job in terms of mitigating the deleveraging impact with a lien implementation and very responsive to what’s taking place around a fixed cost basis and clearly to whatever extent possible variable cost, I mean this is variable cost and a fixed cost as well. So from that standpoint they are doing a great job, but we can’t control the pricing issue or necessarily the cost input side.
Nathan Jones: And I guess the big bright spot was the international revenue there which grew off a pretty robust number from first quarter of last year. Are there projects that are going to run out here, is this a sustainable level outside of the seasonality of course, where are we in international revenue?
Rick Parod: There was nothing significant in the first quarter from a project standpoint that would be running out anything of that nature and is always the case in the international markets we have many pending potential projects that are either in discussion or is that various form of taking shape. So that continues and we haven’t really seen anything change particularly in the international markets. I would comment that I do believe that commodity price pressures that we have seen are contractions we seen in the U.S. does flow over into the international markets, however, as I mentioned in the beginning we’re seeing the progression of these projects really undaunted in terms of they are still proceeding as we have seen in the past.
Nathan Jones: Okay, thanks very much guys.
Rick Parod: Thank you.
Operator: Your next question comes fr4om the line of Brett Wong from Piper Jaffray
Brett Wong: Thanks for taking my questions. Happy New Year. I just wanted to dig into the international side a little bit more for irrigation. Based on your commentary, Rick, it seems and your slides, it seems like your slides are a little bit more cautious than your commentary on demand for irrigation. Is there any concern there? Why kind of the discrepancy?
Rick Parod: I’m not sure I would note a discrepancy in it. I can’t, I’m not really familiar with what specifically you are referring to in the slides.
Brett Wong: I mean just it seems in your last comment you are talking more about how demand or international market haven’t really changed whereas in your slides you call it a bunch of I mean your factors, your market factors that look like they the four market conditions are all pretty negative.
Rick Parod: Well I think there are some market conditions that we would be concerned about going forward. I mean we are seeing things for example the Russian rouble there has been some concern over slowdown in the economy in Brazil, however we haven’t really seen that materialize into anything significant yet. I think there is concern with the European economy to some degree, certainly what’s happening in Greece in terms of election to have some impact. So there’s a number of factors that are of some concern which is always the case but nothing really significant that stands out and as I commented the projects that we have been working on and tracking and working through with our customer base have generally been proceeding. The ones I would be more concerned about in the near term would probably be some of the Russian projects where the -- with the plummet of the rouble its more likely to impact their purchasing capacity and yes, the dialogue is still the same today. So there is some concern going forward, but I wouldn’t really characterise it as certainly the bottom point out or anything of that nature.
Brett Wong: Okay. Great that’s great color, thanks. And just on those kind of projects that you are seeing on the horizon, are there any in different regions other than the ones that you have mentioned in your commentary, Middle East, Africa and Australia there are other regions that are – you see opportunity in?
Rick Parod: Well there is definitely opportunity. I would say that when we look at the growth potential in the international market that we are looking at Brazil, China, South America, Africa and really many different markets and in the past we’ve really focussed on Russia and Ukraine as well as great potential growth which I still do see as a great potential growth, just more challenging in the near term.
Brett Wong: Okay, great. And then on the technology side, FieldNET as you called out has been a good offering, a strong offering and just wondering if there's anything else in the pipeline in new offerings that you guys are considering, or additional functionality for FieldNET as competition continues to increase in that sector?
Rick Parod: As I have mentioned in the past, FieldNET is a very good strong operating process and very successful and we are very pleased with the market penetration we’re getting the FieldNET. We will continue to expand on the solution offering in total and the features that are FieldNET. We also believe that the acquisition of Elecsys Corp has the additional capability and experience for us in terms of expanding what we offer in that market as well as other water related market sectors in addition to the ones that we are already participating in. So I think this is really building our platform to continue to expand that capability and technology.
Brett Wong: Excellent, great I’ll hop back in line. Thanks a lot.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Joe Mondillo from Sidotti.
Joseph Mondillo: Hi guys.
Rick Parod: Good morning, Joe.
Joseph Mondillo: Just to jump on to that last question, just wondering if you could sort of give us an idea where you are in terms of water use efficiency type technology relative to the competition out there.
Rick Parod: It’s a fairly broad question and it’s natural that I could answer…
Joseph Mondillo: Well I guess maybe it’s more specifically on the irrigation side atleast, how does the irrigation equipment in terms of that technology compare to your competitors?
Rick Parod: Well we still characterise our technology on the irrigation side as leading and the best in the industry in terms of its complexicity or let’s say it’s features that in terms of the core solution offering, integration of the pumping system plus all the other factors and features that we have built in through FieldNET. I think it is leading in that sense. Now there are some other aspects of other competition we are seeing and other features that we would like to build into to FieldNET but I’m not really going to get into depth for competitive reasons, but we do see some great opportunities to continue to build out that product line and expand it. We also see opportunities to take what we’ve done with FieldNET and apply it into other applications or similar applications also tied to water use efficiency.
Joseph Mondillo: Okay. And then in terms of acquisitions, acquisitions is a big part of that sort of strategy of extending your technology base. You just made a pretty sizeable acquisition compared to your history at least. Could you talk about how the pipeline looks and are we anticipating maybe a deal or two more within the next 12 months?
Rick Parod: We still have an active pipeline with the couple of good candidates in it that I could anticipate taking place, but I would never really predict timing on those just because they as you know with acquisitions, they kind of come and go depending on negotiations and a number of other factors. So, it’s very difficult to predict the probability of acquisitions. I will say that I’m very pleased with what Elecsys adds in terms of capability that allows us to do quite a bit more in terms of internal organic development of applications and solutions in different market. We continue to look at acquisitions on the technology side, but they’re probably more specific features or characteristic things that would plug into what we’re doing with FieldNET or other technology products today. But in addition to that, we’re looking at acquisitions that fit other water use efficiency type applications, for example, more in terms of filtration, more in terms of pump stations, those types of things which have been successful for us that could continue to expand that product line, that offering.
Joseph Mondillo: Okay, great. And then lastly, Jim, I was wondering if you could expand on the recognition of the Golden Gate project. I think you guys mentioned there was a cost benefit related to the first quarter. And then I guess, the installation is happening I think this weekend, so is all the revenue going to hit in the second quarter and should we see any other benefits in or any recognition in the back half of the year regarding that?
Jim Raabe: So, you are correct, the Golden Gate installation is schedule to occur this weekend and the revenue recognition for the project would all occur once that installation is complete and it’s up and running, so that it would all fall into this quarter. With regard to the comment on the margin impact in the first quarter there was a fair amount of production both of machines and of barriers that were filling through our manufacturing plans and so we have higher utilization and better absorption as a result of the production that occurred in the first quarter and that did help the margin on the infrastructure side.
Joseph Mondillo: So how does that translate into the margin in the second quarter? Do you not see as higher margin even though you see the revenue recognition, or how does that work?
Jim Raabe: You know the margins should still be the same in the second quarter from the revenue recognition, it’s just the matter of things like we don’t have – we have lower idle resources. We have better utilization of the overhead costs. And so it’s really just the matter of where we might have negative manufacturing variances when we have normal production level, when we’ve got higher production levels like this, those access costs are reduced in the quarter.
Joseph Mondillo: Okay. Got you. Thanks a lot guys.
Operator: Your next question comes from the line of Brian Drab from William Blair.
Brian Drab: Hi, Jim. Just following up to that last question on the Golden Gate Bridge, I’m wondering how much – can you quantify the impact on the gross margin maybe on consolidated basis or impact on operating margin overall from that increased productivity in the quarter?
Jim Raabe: It’s a really – on the consolidated it’s not a tremendously significant number and first of all, obviously the revenue base in the infrastructure business is much smaller than the irrigation business. But then even within infrastructure the bigger impacts were overall sales volume and the cost reductions that Rick alluded in his comment on some of the cost changes that we had made as well as just the mix of business and within the road safety business has a little bit of higher margin than what we see in some of the areas, other areas of infrastructure. So, it’s a relative that productivity piece is a relatively smaller amount versus some of the other impacts.
Brian Drab: Okay. So if I rank ordered the items or factors that impacted margin in the quarter, can you just help me do that again, that there is mix in infrastructure, cost cutting productivities towards the bottom of the list?
Jim Raabe: Yeah. I’d say generally that ranking is pretty accurate.
Brian Drab: Okay, okay. Can you tell us what percentage of the irrigation segment sales are now associated with non-pivot business? Pumps, filtration systems and other, just roughly maybe?
Jim Raabe: We don’t have that handy and available. We haven’t disclosed that in the past and I don’t think we are prepared to do that at this time.
Brian Drab: Okay. Okay. And then, this is asked I think to some extend earlier, but in terms of operating expenses, you talked through the uncertainties related to the EPA situation, but as we move into the second quarter, barring any continued increased expenses related to environmental issues, would we reasonably expect that operating expenses might be down you know about a $1 million or $1.5 million commensurate with what you caught in the first quarter year-over-year looking at second quarter operating expenses, could that be down $1 million or so?
Jim Raabe: Yeah. With respect to the SG&A expenses I think the way I would think about it because there is obviously kind of some seasonality in the business, but excluding those costs we had in the first quarter related to acquisition and environmental assuming we don’t – we wouldn’t have similar type expenses. We’re expecting that our SG&A for the year will probably be in the range of around 16%. And I’d also say that’s exclusive of the addition of the Elecsys because their SG&A does run a little bit higher. The other point I would probably add is that there is a fair amount of commission related to the Golden Gate Bridge project in particular and so the commission expenses might be a little bit higher in the second quarter as well.
Brian Drab: Okay. So 16% for the year, we did $9.4 million in the second quarter in G&A and you’d have to assume that that’s 10 assured, even 11 for the rest of the year to get to 16%, it just down year-over-year, so I’m wondering if we can talk a little bit more about that. I don’t see how you get to 16% if you’ve got a $1 million per quarter out of your offering expenses. Where is that mainly coming out? I guess that would be coming out of G&A wouldn’t it?
Jim Raabe: Well, the 16% is, is total SG&A.
Brian Drab: Yeah.
Jim Raabe: As a percentage of sales and obviously if you exclude the $2 million in the first quarter we were at about 17% and it’s a seasonally lower quarter, so as you see some of the revenue changes and we are obviously also looking at other costs and opportunities where we can reduced some costs as well.
Brian Drab: Okay.
Jim Raabe: But I think in that 16% range it should about where we’re at.
Brian Drab: Okay. Thanks. Yeah, I think I’m probably low on the selling expense and related to the Golden Gate Bridge. And then can you update – can you tell us what the number was in terms of replacement versus dry land, versus flood conversion in the quarter?
Rick Parod: Yes. This is Rich. We saw the numbers really kind of reflect what we history seen almost the even split of a third, a third, a third, in the quarter, so it was back to those kinds of levels in fact more precisely the conversion with 36% of sales, the dry land was 30% and replacement 34%.
Brian Drab: Dry land 30%, okay, okay. And then lastly, you been averaging about $50 million and then $51 million over the last five quarters in the international irrigation segments and I was a little – I was still left uncertain with how to model that going forward given Rick you laid out very well, the reason to be cautious going forward and also some reasons to be optimistic. Can you give us any sense for it that kind of 50 million average per quarter in that international irrigation business is a reasonable expectation, do we do up or down from there for the balance of the year?
Rick Parod: It’s very difficult; I’m not going to really project what the quarter sales would be. I would just say that the international markets as we’ve talked about in the past are really a combination of many different markets with a lot of different factors taking place and we’ve described them as historically being double-digit kind of growth, usually in the teens in terms of overall annual growth, we haven’t seen anything this significantly changes our view of perspective on that. It will vary from quarter to quarter depending on projects in specific regions as we’ve seen in Middle East and different areas, so I can’t really give a specific number in terms of what to project for that.
Brian Drab: All right. Thanks very much.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Andrew O'Conor from BMO Asset Management.
Andrew O'Conor: Good morning, Rich, Jim.
Rick Parod: Good morning.
Andrew O'Conor: You know, wanted to know, did Lindsay have a working relationship with Elecsys prior to the acquisition offer? And then secondly, what industry segments where Elecsys revenues derived from for the prior 12 months amongst water, energy, agriculture and transportation? Thanks so much.
Rick Parod: Lindsay did not have a relationship with Elecsys prior to identifying them as an acquisition candidate. They were – it something that came about by our view of potential targeted sectors or industries and it appeared as a very good target from an acquisition standpoint. We did not have a prior relationship. I think their website has probably does a pretty good job of breaking out some of the markets that they participate in which included some water related oil and gas, rail industry and few other sectors that including some in irrigation, but I think their website does pretty good job of breaking that out.
Andrew O'Conor: So would that revenue pie change considerably, Rick, once they become part of Lindsay?
Rick Parod: I don’t of course see a significant change in that pie. I think that’s obviously and there is work that we see Elecsys taking on for us, more that they will do and opportunities or some consolidation with some of our activity with Elecsys, but in addition we see opportunities to continue to grow their business in total in all of the sectors that they’re in and that’s our desire. We think they’ve done a lot of capability both from a manufacturing and technical standpoints and we – our plan to expand on that.
Andrew O'Conor: Okay, and then lastly, I read in the release that the Company expects to raise $100 million via long term debt over the next several months, so I’m wondering what portion of the Elecsys acquisition will be financed with debt and then what portion with cash? Thanks again.
Jim Raabe: This is Jim, and I would say that that is – I wouldn’t -- its connected to the Elecsys transaction and that the timing is about the same, but I think its more broadly connected to our overall strategy with regard our growth initiatives to increase our organic growth through CapEx as well as external growth through acquisition, but then also returning cash to shareholders through increases in dividend as well as opportunistic share repurchases. So the debt will help us to accomplish those objectives with our capital plan and certainly with the $70 million acquisition the debt will replenish our cash kind of at about the same time line as the acquisition gets completed.
Andrew O'Conor: Okay. Thanks Jim.
Operator: Your next question comes from the line of Kevin Bennett from Sterne Agee.
Kevin Bennett: Hey, guys, good morning.
Rick Parod: Good morning.
Jim Raabe: Good morning.
Kevin Bennett: Just a quick question on the buyback, we've had a couple of quarters now I guess between $20 million and $30 million per quarter. Jim, I guess should we expect that level going forward or, I mean I know you said you're going to be opportunistic but just trying to get a gauge on kind of what we should expect there?
Jim Raabe: I wouldn’t necessarily point to a particular number that you should expect as you alluded to we expect to be opportunistic. We’ve had 10b5-1 program in place that we would expect to continue and the design of that program is to allow us to really take advantage of the stock price situation. So we would expect that we would buy more if the stock were to go down and buy less if it were go up, but we are committed to the share repurchase program. We think its inappropriate use of capital for shareholders benefit and we’ll continue to execute as we have.
Kevin Bennett: Got you. And then, should we be focused more on the $100 million or the $150 million at this point. Do you have any comments on that?
Jim Raabe: Well the board authorization is it for up to $150 million and so we’re focused on that number as we go forward.
Kevin Bennett: Okay, cool. Then lastly, kind of following up on the last caller, raising a bunch of debt and then your cash balances right now are still kind of twice what you want it to be. I mean can you go into maybe some of the organic growth initiatives that you guys have going on right now or you have planned to use some of that cash?
Rick Parod: Well, the organic growth initiatives that we have are primarily on the capital side and as we’ve alluded to you that we primarily focused on expansion of our capacity in the international market and you’ve heard some of that with what we’re doing in Turkey with the opening of the plant here in the second quarter as well as last quarter we mentioned the fact that we acquired the facility that we releasing in Brazil and all of this is really around helping us with our vertical integration in our international markets so that as those markets grow we can be increasingly competitive and efficient in those plants. I wouldn’t necessarily point to anything in particular other than to say if those types of addition that we’re looking to execute going forward.
Kevin Bennett: Got you. That makes sense. Thank you, guys.
Rick Parod:
Operator: Your next question comes from the line Chris Shaw from Monness Crespi.
Chris Shaw: Do you guys see any impact from the later harvest in the quarter? Do you think it either delayed sales or pushed sales potentially into the second quarter at all?
Rick Parod: We really haven’t heard much about that really have an impact as they are dealer in general they have been a little bit of delay in terms of the harvest having some impact in terms of their sales during the quarter, but really not much of anything significant that I’m aware of
Chris Shaw: Then I guess subsequently, the Section 179, do you see any late rush at the end of the year, as people take advantage of that once that got passed?
Jim Raabe: Well it was so late in the year that it really couldn’t have much impact unfortunately in terms of the year. I wouldn’t be surprised if there were some orders that came in towards the end of the year and because of the Section 179 passing, but I would say it’s the fairly small and significant amount in total, nothing that would really be very significant. It would had to have occurred much earlier in the year to really have had an impact.
Chris Shaw: And then when you're talking the irrigation, the growth in both pumps and filtration, I don't know exactly what drives the demand for pumps and filtration and is filtration, is that business all about the lack of product?
Rick Parod: Yes. The filtration is the yes, product, yes. And in terms of the increases in pump systems and filtration, some of them will be in to market outside of agriculture as well, for example, our Watertronics business sells pump stations in Golf courses, landscape applications and some municipal applications call in the valves stones, pump stations into heat transfer type applications and other type of industrial applications outside of agriculture. So, those are areas of growth, but in addition will be projects sales where we’re selling pump stations and filtration systems along with our pivots.
Chris Shaw: Okay. Great. That helps. Thanks.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Richard Haydon from Tipp Hill Capital.
Richard Haydon: Heard this in the past, but how much capacity is being added through the Turkish facility and what is the capital investment?
Rick Parod: Well, I would say, its similar from a capacity standpoint whenever we add a facility we do it in a little bit of a phased approach so that we can add production cost effectively. Over time it could be much larger and as I said, we would say that as we saw volumes increase, but its not a significant amount of production capacity, although it will help us to move some of our export business closer to our customers there.
Richard Haydon: Okay. And what was the capital expenditure for it?
Rick Parod: Well, the CapEx, the CapEx number is roughly $10 million or $12 million.
Richard Haydon: How much of the export business that you are doing would be manufactured in that facility?
Jim Raabe: I don’t recall exactly the number, but, we export to a variety of areas around the world from our U.S facility and this will service basically Europe, Western Europe, Eastern Europe, Northern Africa.
Richard Haydon: Okay. Thank you.
Operator: Your next question comes from the line of Jose Garza from Gabelli.
Jose Garza: Hello.
Jim Raabe: Hello, good morning.
Jose Garza: Good morning. Just couple of quick ones. Jim, just how are you guys going to segment the Elecsys acquisition once it’s completed?
Rick Parod: So we’re still working through that, at the current time we expected to fit into the irrigation segment, but we do need to work through that a little bit before we make final determination.
Jose Garza: Okay, and then just thinking about FX and how you guys kind of maybe changing a little bit based upon what the current environment is right now versus where you kind of started at the beginning of the year, any changes to maybe capital plan or how you are approaching that?
Jim Raabe: I’m not sure, I understand exactly your question, could you repeat that?
Jose Garza: Any changes to your capital plan just based upon the environment and remind us kind of where you think capital expenditures are for the year?
Jim Raabe: Okay. Okay. We’re planning on capital expenditures of about $20 million to $25 million. We haven’t modified that outlook but we certainly have flexibilities if we were to see further changes, but at this point we’re continuing with our original plan.
Jose Garza: Okay. Great. Thank you.
Operator: Your next question comes from the line of Richard O'Riley from Revere Associates.
Richard O'Riley: Good morning, gentlemen. Does the drop in energy and fuel costs make much of a difference to your domestic customers and I'm thinking in terms of pumping cost or do they buy electric and its water is the big cost?
Rick Parod: They are primarily buying electric. Water is the tough one because it’s often very little cost with the water itself that they are using, but electricity would be a cost. The reduced energy cost in total is beneficial to farmers in terms of their overall input cost in farming operations which does improve their profitability per acre or per bushel in the crop production, so that could be beneficial to us with standpoints of expanding that profit which therefore makes us sometimes often more beneficial to add in irrigation to expand yields as well. So there are some definite benefits from that farming standpoint when energy costs are reduced.
Richard O'Riley: Okay. And I guess on the international side it could be a negative depending on the customer in the particular country, would that be a general assumptions?
Jim Raabe: There are some cases where there will be markets where it can be a negative, because that will reduce obviously the energy revenues coming into that country and may reduce some of the projects that we could see in certain regions. So that something that we’re watching as well, but there are many investments that are taking place within pumps they coming out of the Middle East into various projects around the world that have been fairly strong in terms of the activity level of projects and whether they will proceed as planned we really don’t know, but we haven’t seen anything change yet.
Richard O'Riley: Okay, good. Thank you for the answer.
Jim Raabe: Thank you.
Operator: Your next question comes from the line of David Rose from Wedbush Security.
James Kim: Hi, good morning.
Jim Raabe: Good morning.
James Kim: This is actually James Kim calling here for David. Most of my questions have been answered, but one question I have just following up on the international operations, irrigation operations and you spoke obviously about improving margins profile there for vertical integration, is there anything else you could talk about other than the expansion of Turkey and the timing of potentially closing the margins spread between domestic and international which you had previously commented was between 5% and 7%. I know its going to be a long process but as your international sales continue to make a bigger portion of your business just curious what your thoughts are there, and if you could talk about your progress there? Thank you.
Jim Raabe: Well there's nothing really specific to comment on at this time other than to say I don't view this as necessarily a really long process. I do view it as a process that will take place as market opportunities are realized in the sense that we're watching in Brazil for example, where we've considered additional CapEx, that our investment there to do some things with our factory. If that market slows down that may postpone making some of those investments, but we really, it's too soon to call that in terms of whether it will proceed as we're expecting or not. But we're looking at each market individually and as the market warrants in terms of demand or growth opportunities we will invest additional capital and expand our vertical integration.
James Kim: And just quickly is the margin gap still about 5% to 7% at this point?
Jim Raabe: What the generalization we’ve made in terms of all of the international business units together, and said that they are in the range of that 5% to 7% margin difference, mostly due to the vertical integration and that would still be generally the case.
James Kim: Great. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Peter van Roden from Spitfire Capital.
Peter van Roden: Hey, guys.
Jim Raabe: Good morning.
Peter van Roden: Just going back to the pricing impact on margins, so you said that the impact on margins in past cycles have been 300 to 500 basis points. Is that on the gross margin side or the operating margin side?
Jim Raabe: Well that comment was on gross margin and it was not in reference to solely pricing. This is just talking about what we've seen in the down cycles in the past would be a three to 500 basis point reduction in gross margins and generally domestic irrigation segment tied to pricing pressure and input cost changes combined and some de-leveraging of costs due to the lower volumes.
Peter van Roden: Got it and then as you guys think about sort of the health of your dealer network, how are they holding up in this downturn?
Rick Parod: The dealers are holding up quite well. We haven’t really seen anything negative with the dealer network yet I would say they are holding up well. They are used to these cycles, I always get a little concerned with some of the newer dealers who haven’t seen the cycle before and they tend to in really peak period respond to it and want to invest more and grow fast and find that that’s not necessarily the right thing to do is to draw a lot of money into it because there is the downside of the cycle. But say our dealers are pretty experienced, well established and in pretty good shape and we don’t anticipate any major dealer issues in this process.
Peter van Roden: Okay. Well thanks guys, good luck.
Rick Parod: Thank you.
Operator: There are no further questions at this time. I will now like to turn the call back over to Mr. Parod for closing remarks.
Rick Parod: While we’re in the midst of a cyclical downturn for the irrigation segment, where a global long-term drivers of water conservation, population growth and the importance of bio-fuel, and the need for safer and more efficient transportation solutions remain positive. Lindsay is committed to creating value for shareholders through organic growth, dividends, accretive acquisition and share repurchases. I’d like to thank you for your questions and participation in this call. Thank you.
Operator: This does conclude today's conference call. You may now disconnect.